Operator: Thank you for standing-by ladies and gentlemen, and welcome to the Euroseas’ Conference Call on the Third Quarter 2013 Financial Results. We have with us Mr. Aristides Pittas, Chairman and Chief Executive Officer; and Mr. Tasios Aslidis, Chief Financial Officer of the Company. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. (Operator Instructions) I must advise you that the conference is being recorded today, Tuesday, November 12, 2013. Please be reminded that the Company announced their results today before the market opened with a press release that has been publicly distributed. Before passing the floor to Mr. Pittas, I would like to remind everyone that in today’s presentation and conference call, Euroseas will be making forward-looking statements. These statements are within the meaning of the Federal Securities Laws. Matters discussed may be forward-looking statements which are based on current management expectations that involve risks and uncertainties that may result in such expectations not being realized. I kindly draw your attention to Slide Number 2 of the webcast presentation, which has the full forward-looking statement and the same statement was also included in the press release. Please take a moment to go through the whole statement and read it. And we now pass the floor to Mr. Pittas. Please go ahead, sir.
Aristides Pittas: Good morning and thank you for joining Euroseas for our conference call today. Together with me is Anastasios Aslidis, our CFO. The purpose of today’s call is to discuss our financial results for the three and nine months period ended September 30, 2013. Let us turn to Slide 3 for our third quarter and nine months ended September 30, 2013 financial results overview. For the third quarter of this year, we reported total net revenues of 9 million. The net loss for the period was 3.8 million or $0.08 loss per share basic and diluted. The results for the third quarter of 2013, included 0.3 million unrealized gain on derivatives, a 0.4 million realized loss on derivatives and 1.3 million gain on the sale of a vessel. Excluding the effect on the loss for the quarter of the gain on sale of a vessel, the unrealized gain on derivatives and the realized loss on derivatives, the adjusted net loss per share for the quarter ended September 30th would have been 5 million or $0.11 loss per share basic and diluted. Adjusted EBITDA for the third quarter of 2013 was minus $0.5 million. For the first nine months of 2013, we reported total net revenues of 29.5 million. The net loss for the period was 17.3 million or $0.38 loss per share basic and diluted. The results for the first nine months of 2013 include a 1.2 million unrealized gain on derivatives, a 1.3 million realized loss on derivatives and a 1.9 million net loss on sale of vessels. Excluding the effect on the loss for the first nine months of 2013 of the unrealized gain on derivatives, realized loss on derivatives, realized gain on trading securities and the net loss from sale of vessels, the adjusted net loss for the period was $15.3 million or $0.34 net loss per share basic and diluted. Adjusted EBITDA for the first nine months of 2013 was negative $1.6 million. For the first nine months of 2013, we declared two quarterly dividends in cumulative amount of $0.03. This quarter our Board of Directors decided to suspend the quarterly dividend. Since the Company’s inception in 2005, and after 32 quarters of continuously paying dividends, we have decided to scrap the dividends for two main reasons. Firstly, we firmly believe that now is the time to invest as ship values appear to be starting to move away from the bottom we have seen in the first half of the year. Fundamentally, we are also guardedly optimistic for the next couple of years as we see supply pressures moderating and the focus shifting to demand and economic growth. We thus believe that the current trend of depressed environment presents us with opportunities to acquire quality vessels at attractive prices and position our sales to benefit from a turnaround of the market. Therefore, we want to focus all our resources in exploiting investment opportunities as this should be a better use of our money. Secondly, we have come to believe that this is what the majority of the investors also want, i.e., a more growth oriented Company. The last few years we have seen our share price significantly trail our NAV and like most of our peers which actually do trade above NAV. Currently we are trading at below 80% of our NAV. It seems unreasonable to have a Company trading so much below its intrinsic value and we intend to reverse this. Our balance sheet remains strong with about $29.4 million of cash and the net debt-to-market value of the fleet ratio in the range of 20% to 25%, thus giving us the flexibility to affect this growth. We have recently made the commitment to invest an additional $5 million in our Euromar containership joint venture. While in parallel we continue to evaluate opportunities in the drybulk sector to which we would like to increase our exposure. On Slide 4 we provide our fleet development and operational highlights. During the third quarter and through October 2013 the containership market showed some signs of improvement, especially in the small geared sizes that we operate. Drybulk rates increased very strongly in September and early October driven by the strength of the Capesize market only to decline later, but they still remain at higher levels than earlier in the year especially for Panamax size vessels like ours. We expect to benefit from the higher rates as our vessels sold over their existing charters. We have been able to find charters for all our ships at open dock during this quarter and currently we have all our ships fully employed. Specifically we re-charted for periods ranging between 5 to 12 months during Q3, five containerships which open dock at the rates between $6,400 per day and $7,700 per day, another slightly higher than the previous charters. We have also extended the drybulk vessel Monica P charter for one year at $7,500 per day and recently the Panamax drybulk carrier Eleni P exited the Baumarine pool and was fixed for 11 to 14 months at an index related charter. Our employment strategy remains to renew our fleet on short-term charters, until the drybulk and containership markets recover further. During this quarter we also sold for scrap our eldest vessel the motor vessel Irini. A 69,000 deadweight Panamax sized drybulk carrier built in 1988 for approximately $3.9 million, resulting in approximately $1.3 million gain in the sale. Our intent is to replace it with a younger vessel soon. Our current fleet is shown on Slide 5. Following the Irini vessel transaction mentioned in the previous slide, we have now 14 ships including 4 drybulk vessels and 10 containerships. On Slide 6, you will find an overview of Euromar, our joint venture with Eton Park and Rhône Capital. On this slide we will use the Euromar fleet of 10 good intermediate and Handysize containerships with an average age of 9.5 years and a total carrying capacity of over 24,000 TEUs. The full amount of the 175 million committed equity of which 25 million was from Euroseas has been injected into the Company. Euromar is sitting on a cash pile of about $46 million, and we will be able to purchase an additional of two or three vessels. As mentioned earlier, we have recently made the commitment to invest an additional 5 million in the Euromar containership joint venture. Let’s move to Slide 8 for a brief overview of the market. We welcomed during the third quarter of 2013 a strong rise in the Baltic Dry Index of around 70% to 80% due to the certain Capesize rates, which moved from around $10,000 a day to above $43,000 a day, but has since retreated to levels around 20,000 a day, still double what we were before this spike. The rising Capesize rates had to do with acceleration of iron ore production and exports of the commodity from Brazil to China from Brazil and Australia to China in July and August. Following the strong upswing by the Capesize market charter started to demand more over the lower priced Panamaxes. The rates for these vessels also strengthened always strengthened albeit not near the levels of Capesize vessels reaching a peak in excess of $1,500 per day before contracting to the $12,000-$13,000 per day range they are today. Supramaxes moved also but less and still rose and have stayed around $1,200 a day. During the third quarter 2013, secondhand drybulk vessel prices moved up around 20% for 10 to 15 year old vessels and around 10% to 15% for younger vessels. The trend has recently paused due to falling rates again. As for the containership market rates have shown encouraging improvements on the smaller geared sizes in which we operate in the range of 15%. Speculators taking advantage of all time low time low prices have felt asset prices move or up in the region of 15% as well. New building prices also seem to have bottomed out and the recent trend indicates increases in the region of 10% and rising together with expected delivering times being lengthened to 2016 and onwards. Let’s now move to Slide 9. This shows how expectations of world GDP and shipping demand growth are evolving. According to the IMF projected GDP growth in 2013 and 2014 is now expected to be slightly less than what it was three months ago. China is now expected to grow by about 0.2% less than previously estimated, but at 7.6% this actually remains quite healthy. On the other hand India’s growth is expected to slow to 3.8% from the 5.6% expected three months ago. The 2.9 annum growth global projection is lower than the 2012 growth of 3.1%. Further out however in 2014 and 2015, the global economy is projected to be growing at the rate of 3.6% in 2014 and 4% in 2015, better than 2013 but again less than the previous quarters’ projections. As I mentioned a numerous times GDP projections are strongly correlated to drybulk and container trades especially the later. As can be seen on the bottom of slide 9, despite the further slowdown in world GDP Clarksons’ projections point to drybulk growth to remain at a descent 5% in 2013, unchanged from the previous estimate. On the other hand, Clarksons’ containerized trade growth forecast in 2013 was revised slightly lower to 4.8% from the previous estimate of 5%. The continued weakness in the eurozone economies is the reason for the lower container trade growth, although it is still expected to be higher than last year's disappointing 3.2%. Again, for 2014 and ’15 things at the moment seem much more promising in line with the expected higher global GDP growth. Against this demand background, we have to also look at ship supply. Let's turn to Slide 10. The delivery schedule for drybulk vessels in the beginning of 2013 stood at 14.9% of the fleet. This does not take into account cancellation, slippage, and scrapping. It is generally difficult to quantify how much of the orderbook will finally get delivered in a year, but today you can see from the charter the number of vessels actually delivered is at the rate of about 30% lower than what was projected at the beginning of the year, due to the poor market and the lack of financing. For 2014, the current total orderbook stands at only 6.6%, which is a significant improvement over previous years and points to stabilizing drybulk sector. Of course 6.6% is not going to be the actual number, when you factor in slippage from 2013, but we still expect the orderbook in 2014 to be at its lowest growth rate in the number of years. Please also note on the left hand side of the slide that the percentage of the fleet that is over 20 years old is still quite high at close to 9%. Scrapping should continue to enhance the fleet balance relatively quickly, if rates were to remain low over the next few months. Let's turn to Slide 11. Just as we pointed out with the drybulk orderbook, the containership delivery so far in 2013 are lower than the 11.3%, which was originally projected. Here cancellations and slippage will be less as it is generally more difficult for container owners who generally order at the better yards to avoid deliveries. The number is settled at around 10% to 15%, thus bringing the actual 2013 deliveries also lower than the original forecast. The 2014 and 2015 orderbooks just 7.6% and 6.5% respectively, are also at historical low levels and also point towards a recovering market. This however could change for end 2015 and 2016, if the pace of contracting shown in the last quarter continues in the coming months. Please not that that existing orderbook is heavily skewed towards the larger ships, however cascade is happening and happening fast which implies that the rates for all sizes get affected. We expected that the rates of Panamax ships between 3,500 to 5,000 teu will suffer most as these ships will be displaced by the new bigger ships but they will find it difficult to cascade down to most routes currently served by our size of ships, 1,100 to 3,000 teu, due to their big size, high consumption and lack of gear. Let us turn to Slide 12 to summarize our view on the markets, beginning with drybulk. Although the drybulk – the orderbook during the third quarter added about 1.5% of the fleet, it is low compared to recent years and is actually at about the same levels last observed during 2003 and 2004 prior to the drybulk markets record freight boom. Further the deliveries by yards are now offered for Q4 2015 onwards, which will have a little effect on deliveries during the next coming two years. Thus we expect that the supply demand balance we tilt in favor of demand in 2014 and '15 and thus we expect rates to improve. For containerships demand prospect should also improve in 2014 and 2015, although they are still shaky in view of the fragile economic environment. Despite this appetite for new orders was very strong during Q3, with owners placing almost 750,000 teu of new orders, which is about 4.6% of the fleet. Almost exclusively this increase was in the large sizes with 8,000 teu to 9,000 teu to 9,000 teu tonnages dominating the orderbook as there is a perception that these will become the wild horses of the future. As we expect minimum new deliveries to be added for the next two years, we expect container supply and demand balance to also be in favor of demand in 2014 and 2015. And therefore we expect an improvement of rates over the next two years. However if the ordering spree seen recently continues, 2016 could not be as bright as had been before up till now. Let's turn to Slide 14 to discuss our drybulk employment in more detail. Our drybulk coverage for the remainder of 2013 currently stands at 100% and 38% in 2014. We're continuing the strategy of employing our vessels and short-term charters in anticipation of a market improvement. Let's turn to Slide 15. For our containerships we currently have about 87% coverage for 2013, but we're in discussions with current charters of the two ships which opened up this year to extend them and expect to do so soon at rates like the above the current ones. As we do for the drybulk vessels our strategy for our containerships vessels is also to employee them on short-term charters between 6 to 12 months in anticipation of the market improvement. In 2013 all fixtures were concluded was slightly higher than the previous ones and we would expect the same trend to continue in 2014. Please turn to Slide 16. Through Eurobulk our manager we have been able to continue to keep our costs very low. The graph on this page compares our daily costs excluding drydock expenses since 2008. Overall our cost remained among lowest of the public shipping companies. We're very proud of this performance especially it is in conjunction with fleet utilization in excess of 98.5% over the last five years, a level which is similar to that of our peers, despite the fact that the average age of our fleet is higher than most of the other listed companies. For the third quarter of 2013, our operation fleet utilization was 98.3% and our commercial fleet utilization was 97.3%. Our daily cost per vessel for Q3 2013 is in line with our budget in the previous years. Let's now turn to Slide 17. The left side of the slide shows the evolution of time charter rates of Panamax drybulk ships and containers of 1,700 teu since 2001. After seven years when drybulk ships were earning more than containerships, both segments were earning similar rates again, this year up to very recently. The big variance we saw during the previous 7 years was mainly due to the Chinese bulk demand boom. The recent spike in drybulk rates was again due to a spike in Chinese idol demand. Whenever we see a sudden demand push in either of the sectors, we can expect a significant rate increase. The right hand side of Slide 17 shows current values in the relation, historical prices. Panamax prices are currently below their average of 2000 to 2012 and we would expect these values to improve towards a historical average as charter rates recover. Similarly containership values are also very weak and low below their average of 2000 to 2012. Here again, we would expect prices to revert to historical average as the global economy improves. As already stated, our intension is to take advantage of the point we currently are in the cycle to grow our Company. As our container activities are currently, mainly expressed through our Euromar joint venture, we are concentrating more in expanding our drybulk fleet further. With that, I will pass the floor over to our CFO, Anastasios Aslidis to take you through our key financials in more detail.
Anastasios Aslidis: Thank you very much Aristides. Good morning ladies and gentlemen. I will now provide you with a brief overview of our financial results for the three and nine month period ended September 30, 2013. For that, let’s move to Slide 19 and start with our third quarter 2013 results in comparison to the same period of 2012. I will go over here some of the same figures that Aristides gave you in the beginning of the presentation. Specifically for the third quarter of 2013, we reported total net revenues of 9 million representing a 32.8 decrease over total net revenues of 13.4 million during the third quarter of last year. We reported a net loss for the period of 3.8 million or $0.08 loss per share as compared to a net loss of 0.8 million or $0.02 loss per share for the third quarter of 2012. The results for the third quarter of 2013 include a 0.3 million unrealized gain on derivatives, a 0.4 million realized loss on derivatives, and a 1.3 million gain on the sale of a vessel as compared to 0.2 million unrealized gain on derivates, 0.4 million realized loss on derivatives for the same period of 2012. Excluding the effect on the loss for the quarter of the gain on sale of the vessel, and the changes in the value of our derivatives we adjusted loss per share for the quarter ended September 30, 2013 was 5 million or $0.11 loss per share basic and diluted compared to a net loss of 0.6 million or $0.1 per share for the quarter ended September 30, 2012. Our adjusted EBITDA for the third quarter of 2013 was minus 0.5 million as compared to 4 million achieved during the third quarter of last year. As Aristides mentioned earlier, our Board of Directors decided to suspend our quarterly dividend so we can focus all of our resources in exploiting investment opportunities in the market. On the same slide, Slide 19, we provide our first nine month 2013 results as compared again to the same period of last year. For the first nine months of 2013, we reported total net revenues of 29.5 million representing a 26.4% decrease over total net revenues of 40.1 million during the first nine months of 2012. We reported a net loss for the period of 17.3 million as compared to a net loss of 11.2 million for the first nine months of last year. The results for the nine months of 2013 include a 1.2 million unrealized gain on derivatives, a 1.3 million realized loss on derivatives and a 1.9 million net loss on sale of vessels as compared to a 0.7 million unrealized gain on derivatives, unrealized gain on trading securities, a 1.3 million realized loss on derivatives and an 8.6 million loss on sale of a vessel for the same period of 2012. Excluding the effect on the loss for the first nine months of this year of the change in the value of derivatives and the net loss on the sale of vessels, the adjusted loss per share for the nine month period ended September 30, 2013 was 15.3 million or $0.34 loss per share basic and diluted, compared to a net loss of 12 million for a loss of $0.05 basic and diluted for the same period of last year. Adjusted EBITDA for the first nine months of 2013 was minus 1.6 million as compared to 12.3 million achieved during the first nine months of 2012. Let's now move to Slide 20, which shows our fleet performance for the three and nine month periods ended September 30, 2013 again in comparison with the same periods of 2012. As usual, we have broken down our fleet utilization rate into commercial and operational. Starting first with the third quarter of 2012, we reported a 97.3% commercial utilization rate and a 98.3% operation utilization rate as compared to 99% commercial and 99.5% operational for the same period of last year. Our utilization rate calculation does not include vessels in drydock or in scheduled repairs during the reported period. In the third quarter of 2013, we operated 14.28 vessels shaping a time charter equivalent rate of about $7,320 per vessel per day, which represents a decrease of about 28% compared to the time charter equivalent of $10,246 per vessel per day that we achieved during the third quarter of last year, a period during which we operated 15 vessels. Total daily operating expenses including management fees, general and administrative expenses, but excluding drydocking cost averaged $6,209 per vessel per day during the third quarter of 2013 as compared to $6,144 per vessel per day for the same period of last year, an increase of about 1.1%. Overall, we believe that we have continued to maintain one of the lowest cost structures amongst the public shipping companies, and we think that this is one of our main competitive advantages in the business. Let’s now look at the bottom of this table to our daily cash flow breakeven level for the quarter. Presented here on a dollar per vessel per day basis, we reported for the third quarter of 2013 an operating breakeven level including loan repayments of approximately $8,547 per vessel per day as compared to approximately $8,262 per vessel per day for the same period of 2012. Moving on now to the right side of the slide, we can take a look at our figures for the first nine months for this year again in comparison to the same period of 2012, we reported a 95.7% commercial utilization rate and a 98.9% operational utilization rate as compared to 95.1% commercial and 99.5% operational utilization rates for the nine months of 2012. Again as mentioned earlier, our utilization rate calculation does not include scheduled repairs or drydocks. In the first nine months of 2013, we operated 14.75 vessels having the time charter equivalent rate on average of $7,953 per vessel per day, which again represents a decrease of about 23% compared to a time charter equivalent rate of $10,373 per vessel per day that we achieved during the first nine months of last year, a period during which we operated 15.22 vessels. Total daily operating expenses again including management fees and general and administrative expenses but excluding drydocking costs averaged $6,200 per vessel per day for the first nine months of 2013 as compared to $6,066 per vessel per day for the same period of last year representing a 2.2% increase. Let’s look again at the bottom of this table to our daily cash flow breakeven for the first nine months of 2013, which again shown here on a dollar per vessel per day basis. We reported an operating breakeven level again including loan repayments of approximately $9,758 per vessel per day compared to $8,961 per vessel per day for the same period first nine months of 2012. Let’s move to Slide 21. This slide shows the expectation of our cash flow breakeven levels over the next 12 months on the right part of the slide. And from the left part of the slide, we show our scheduled debt repayment including scheduled balloon repayments. As you can see from the chart on the left side for the slide in 2012, we had 13.4 million of total debt repayment including balloon repayments. In 2013, we are scheduled to make about 11 million of loan repayments and an additional 4.9 million of balloon repayments. I am going to add here the two of our facilities were extended for a two year period, as well as their balloon payments of 5 million originally due in 2013 were pushed out by about two years. Our loan and balloon repayment over the next 12 months produced a $3,600 per vessel per day contribution to our cash flow breakeven level that we see on the last line of the table on the right part of the slide. Of that 3,300 about 11,000 -- 1,500 is for balloon repayments that we might able to reschedule. After making assumptions for other elements of our cash flow breakeven level, such as operating expenses, administrative costs, interest and drydocking which have come to the estimated cash flow breakeven level for the next 12 months of about $11,000 per vessel per day including the balloon repayments. And without the balloon repayments it will manifest to be further -- it would be $9,500 per vessel per day. Let's move now to Slide 22, and as usual let me give you some highlights from our balance sheet. As of September 30, 2013, we had unrestricted cash of 18.7 million and restricted cash of about 10.6 million for a total of a little more than $29 million which translates to about $0.64 per share. Our debt including the current portion of it is about 52.1 million resulting in a debt capitalization ratio of just above 21%. The ratio for our debt to the market value of our fleet extends in the range of 60% and our net debt that is debt less cost as ratio to the market value of our fleet in the range of 20% to 25%. We are in compliance with all of our loan covenants as of the end of September 2013. We estimate that the current ratio of our price to the net asset value of the Company to be in the range of 75% to 80%. Looking forward, we estimate that we can allocate about $10 million to $15 million of our cash for our fleet renewal and acquisition program. We are timely as Aristides mentioned, working on further renewing our fleet, and seeking attractive acquisitions. And with that, let me pass the floor back to Aristides to conclude our remarks.
Aristides Pittas : Thank you, Tasios. We are ready to take any questions you may have.
Question:
and:
Operator: Thank you very much indeed gentlemen. (Operator Instructions) And you have a question from Wells Fargo from the line of Michael Webber. Please ask your question. Your line is now open, sir.
Jonah Meekly : Sorry I was mute this is Jonah Meekly on for Michael Webber. The first question is just about the dividend. I know you mentioned you were looking at investment opportunities in the market, but how much of that was driven by your near-term debt maturities. It looks like you have about 16 million due in Q4 if I am not mistaken or installment payments rather?
 Wells Fargo Securities: Sorry I was mute this is Jonah Meekly on for Michael Webber. The first question is just about the dividend. I know you mentioned you were looking at investment opportunities in the market, but how much of that was driven by your near-term debt maturities. It looks like you have about 16 million due in Q4 if I am not mistaken or installment payments rather?
Aristides Pittas: Say that again. We have regular repayments in Q4. We have-- our next balloon is during in April of 2014.
Jonah Meekly : But just I guess in terms of the overall amount that’s due. There is $11 million repayment in -- is that in Q4?
 Wells Fargo Securities: But just I guess in terms of the overall amount that’s due. There is $11 million repayment in -- is that in Q4?
Aristides Pittas: No, we have over the next 12 -- in 2014 as you can see here from the slide it’s about 13 million. And in Q4 I think we have about 3 million or 4 million of debt to be paid.
Jonah Meekly : Okay, got you. I am just misinterpreting the graph. But how much does that factor into suspending the dividend?
 Wells Fargo Securities: Okay, got you. I am just misinterpreting the graph. But how much does that factor into suspending the dividend?
Aristides Pittas: That didn’t have an influence on that. The reason of the suspension as I mentioned previously was because we intend to use that cash in addition with the other cash that we have to grow the Company. And we have seen that despite the fact that we had been paying dividends consecutively for so many years, the market didn’t really appreciate that. So we listen to our shareholders. We talked to a couple of them and we understand that they want more aggressive story which is what we want as well at this point in time, because really we think it’s a time to be growing the Company. So we decided to suspend the dividend in order to focus on growth and not of course because we had to or because anybody forces to do that or we had the debt issues or whatever. We have no debt issues whatsoever. We have no breaches with any of our covenants. The financial position is very sound, it’s just like it is better use of our shareholders’ money.
Jonah Meekly : And I guess within that same vein, do you expect to focus more on the drybulk side or containership acquisitions?
 Wells Fargo Securities: And I guess within that same vein, do you expect to focus more on the drybulk side or containership acquisitions?
Aristides Pittas: Currently we are focusing more on the drybulk side. Euromar our joint venture with the two private equity firms is focusing on the container sector. We want to grow on the drybulk sector at this point.
Jonah Meekly : Okay, and with that focus on drybulk, do you intend to maybe sell off some additional older containerships?
 Wells Fargo Securities: Okay, and with that focus on drybulk, do you intend to maybe sell off some additional older containerships?
Aristides Pittas: The older containerships currently are valued at scrap. So if we sell them we get scrap value. As long as the ships are earning more than that cost their costs they are contributing. We have cash in our balance sheet. So, as long as we have enough cash in our balance sheet, we are using that to grow the Company. If we need more cash to grow our Company this is a possibility that at some point we sell some of our elder containerships. Right now, we view them simply as an option and they have the value of an option if container trades improve we will earn money on those ships.
Jonah Meekly : And then I guess just looking at your potential drybulk acquisitions, are you going to primarily focus on secondhand purchases or is there is a possibility for a new build order in there?
 Wells Fargo Securities: And then I guess just looking at your potential drybulk acquisitions, are you going to primarily focus on secondhand purchases or is there is a possibility for a new build order in there?
Aristides Pittas: There is a possibility for a new build order as well. We are looking at both secondhand and new build orders, yes.
Jonah Meekly : And then just the last question in terms of rate volatility it looks like container line the DRIs have struggled throughout the year and I just wanted to know how that’s affected your view on counterparty risk?
 Wells Fargo Securities: And then just the last question in terms of rate volatility it looks like container line the DRIs have struggled throughout the year and I just wanted to know how that’s affected your view on counterparty risk?
Aristides Pittas: Counterparty risk to its container lines has always been much smaller than what it was with the drybulk companies because there are more substantial operations and they have assets and one way or the other they manage is to find the additional equity they need to survive, either being too big to fail, being supported by stock markets, being supported by governments being supported by individual investors. Generally we feel that most container lines are and will continue to be very safe, especially the bigger ones. Some smaller container lines could be a risk but we try to avoid fixing with them.
Jonah Meekly : And actually just one more question and it’s in terms of the recent drybulk rate upside we have seen particularly for Capes but more near sector for the Panamax vessel. Is there a specific level where you begin to think about extending some of your time charter contracts?
 Wells Fargo Securities: And actually just one more question and it’s in terms of the recent drybulk rate upside we have seen particularly for Capes but more near sector for the Panamax vessel. Is there a specific level where you begin to think about extending some of your time charter contracts?
Aristides Pittas: Yes, we would extend time charter contracts if we see levels in the mid teens, so if we see levels in the mid teens which is a very positive levels. We would fix year or so maybe even 2 and this is something that may very well happen in the first half of 2014.
Operator: Thank you, sir. (Operator Instructions) As there are no further questions at this time, we will now pass the floor back for closing remarks.
Aristides Pittas: Thank you all very much for listening in and we hope to have you with us again in three months time.
Anastasios Aslidis: Thanks everybody.
Operator: And with many thanks to all our speakers today, that does conclude our conference. Thank you all for participating. You may now disconnect.